Operator: I would now like to hand the conference over to Mr. Lawrie Conway, Managing Director and Chief Executive Officer. Please go ahead.
Lawrie Conway: Thank you, Ashley, and good morning, everyone. I’m joined on the call today by Jake Klein, our Executive Chair; Matt O’Neill, our Chief Operating Officer; Nancy Guay, our Chief Technical Officer; Glen Masterman, our VP, Discovery; and Peter [Rocky] O’Connor, our GM, Investor Relations. Today, in addition to releasing our March quarterly results, we’re excited to have announced the approval of the Cowal Open Pit Continuation project that will sustain the operation as a world-class number one asset for at least the next 17 years. Glen Masterman, our VP Discovery, tells me that we’re not discovering at Cowal, and I’m sure he is right. We have released a presentation pack today, and that is what [Audio Gap]. Turning to Slide 3. And I think it’s fair to say that we’ve had another successful quarter. On top of our day-to-day operations, though, we’ve made enormous progress on multiple value-accretive organic growth projects. As I said in January, our commitment has been to continue to build on the consistency of the past 4 quarters, and that is what we did in the March quarter. We are delivering to guidance. Our safety was stable with our TRIF at 5.4. We produced around 180,000 ounces of gold and just under 20,000 tonnes of copper. Our all-in sustaining cost remains one of the lowest in the sector at $1,616 per ounce for the quarter and $1,575 per ounce year-to-date for continuing operations. We’re also maintaining our discipline on costs and capital allocation. The consistency and delivery matched with the increasing gold price environment has seen our cash flow generation continue with $207 million of group cash flow delivered in the quarter. On top of this, we had an extremely productive and successful quarter with our projects. The Mungari plant expansion has completed construction early and is now in the commissioning and ramping. This now moves Mungari back to a material cash contributor for the group. We now received final regulatory approval for the continuation of open pit mining. On the back of this, the Board had the easiest of decisions for the project due to the quality of the asset and the high rate of return it will deliver. The project is now fully approved and Cowal has extended out to at least 2042. Lastly, at Mt Rawdon, all of the work over the past few years on the Pumped Hydro Project is starting to come to fruition with the Queensland government committing to funds for the next phase of the project. I’m not going to steal Jake’s thunder on the project. He will have the pleasure of talking to it shortly. Moving to Slide 4, which really does show the outcome of a successful quarter. We have further accelerated our deleveraging, which strengthens the balance sheet. The $207 million of group cash flow we delivered for the quarter was at an equivalent rate of $1,115 per ounce. This is 30% higher than the December quarter against only an 11% increase in the average spot gold price. We expect further improvements in cash flow in the June quarter as we deliver our production guidance matched with a spot gold price that is $550 to $600 per ounce higher than what we achieved in the March quarter. There’s been a lot of talk about hedge books, and Evolution has minimal hedging at 65,000 ounces to be delivered through to June 2026. It is not material in the overall scheme of things. And when you look at it, this year, we have achieved 98.5% of the average spot price. During the quarter, we repaid all of our remaining FY ‘25 scheduled term loan repayment. With our cash position of over $660 million, the outlook for near-term cash generation and our gearing now below 20%, we will continue to accelerate repayments of these term loans. Our long-dated debt via the USPP notes is sector-leading with a very low average cost of debt at 4.5% in Australian dollar terms. It comprises 75% of our total debt with an average tenor of about 6 to 7 years. When we issued these notes, we fixed our currency exposure and are seeing the real benefits of that. Our principal debt is currently $180 million lower, and our interest expense is $7 million to $8 million per annum lower than if we were exposed to currency movement. Through delivering to our planned disciplined capital allocation and banking the benefits of high metal prices, this will enable us to continue to increase returns for our shareholders. Turning to Slide 5 and shifting gears to our projects. Cowal is truly a world-class Tier 1 asset. Since acquiring the operation 10 years ago, it has consistently delivered low-cost ounces, the resource base has grown. It has fully repaid all acquisition and investment capital. It still has at least a 17-year mine life. And as I said earlier, there is more upside to be extracted. Just this year alone, for the 9 months, Cowal has generated around $480 million of net cash at just under $1,900 per ounce. It’s hard to resist, but it is a cash cow. The decision to invest in the open pit continuation project was easy due to the quality of the assets and the compelling economics of the project. Nancy will take you through this in more detail shortly. But in short, the project will deliver around 2 million incremental ounces from 3 satellite open pits and the existing E42 pit. The project plan and capital are very much in line with what we’ve outlined on-site in June last year. For investment of $430 million over the next 7 years to generate an incremental NPV of between $875 million and $2.3 billion at 34% to 71% rate of return and a very short payback period of 1.5 years to 4.5 years from first ore. This is the right place and time to be allocating the funds. It fully aligns with our discipline on capital allocation. We will be investing $65 million to $70 million of the project capital and around $5 million in mine development this financial year to have the project ready for full ramp-up from July. This capital was not included in our original FY ‘25 capital guidance as the project was subject to regulatory approval at that time. Included in this capital for F ‘25 is the opportune purchase of low-hour secondhand haul truck fleet, saving approximately $35 million compared to the cost of new haul trucks. The market for this type of equipment is favorable right now. And therefore, we will continue to assess options so as to achieve the best outcomes from a capital and operating cost perspective for the long life open pit plant. I’ll now hand over to Jake, who is excited to share the good news on the Mt Rawdon Pumped Hydro Project.
Jake Klein: Thanks, Lawrie. Good morning, everyone. I’m very happy to have been invited by you Lawrie, to do a guest cameo appearance on the call today. I must submit when I asked you, Lawrie, for 20 minutes to provide the full story on Mt Rawdon, you did almost rescind the invitation. So I will try and meet my commitment to you and be as broad as possible given the exciting nature of this project. But as many of you know, on the call, the conversion of Mt Rawdon into Pumped Hydro clean energy storage facility has been a pet project of mine for [indiscernible]. It has had such -- it has such great positive messages on so many levels for the mining industry and also our country’s transition to renewable energy. What could be better than converting an old gold mine into renewable clean energy infrastructure assets. It is a project we’ve been working on for over 5 years, since our partners and joint venture owners in the project ICA Partners identified Mt Rawdon as a site suited to the conversion to Pumped Hydro. This centered around its steep topography, its closeness to the grid and the fact that it is a disturbed mine site, so it’s environmental [indiscernible] so well known. All the work we have done over the last 5 years has demonstrated this to be correct, and we’ve set out some of this on Slide 6. Mt Rawdon has proven to be the most -- one of the most advanced, lowest capital-intensive pumped hydro projects in Australia. It is competitive on every important metric compared to other energy storage alternatives. Last week, the project received a major boost when [indiscernible] announced the Queensland government support in advancing the Mt Rawdon Pumped Hydro Project to a final investment decision. This support is being funded through CleanCo, a government-owned entity, who are currently spending $30 million on further study in geotechnical ahead of deciding whether to exercise their option by the end of September this year. The agreement we have put in place with CleanCo aligns ICA and Evolution’s interest with the success of the project right through the commissioning through various milestone payments and also the right to process any gold extracted as the current open pit is reshaped to serve as the lower reservoir for an infrastructure asset that will be built and operated for 100 years. Finally, probably something that was not considered in the initial analysis, but it’s truly proving to be invaluable is the exceptional community and indigenous partner relationships, Evolution has built up over the last decade. Since the announcement from the Queensland government last week, the response and feedback from these important stakeholders have been overwhelmingly positive with the recognition that building this project will add jobs and contribute to the local community for decades to come. Lawrie, thanks again for the guest slides, and I’ll now hand over to Matt to provide some more detail on what has been a genuinely outstanding quarter for Evolution.
Matt O’Neill: Thank you, Jake, and a hard act to follow. The March quarter was another solid quarter of safely delivering to plan. The consistency and predictability of our operations has improved materially over the last year. This is built on the back of strong teamwork and collaboration at each of the operations and also more broadly across the wider Evolution organization with the goal being we say, we do, we deliver. If everyone would turn to Slide 7, with a bit of an update on the operations. Firstly, what we delivered in the March quarter. We achieved several important milestones during this quarter, as noted earlier by Lawrie. At Mungari, we successfully completed the 4.2 mill expansion ahead of schedule and under budget. And at Cowal, we received all approvals required to extend the life of the operation to 2042. In preparation for the next 20 years of operation at Cowal, the mill underwent a major refurbishment, which commenced in mid-March. These 2 assets are core parts of the foundation for continued success for the group and are a good demonstration of our capabilities in project execution, which sets us up for long-term growth opportunities. The operations delivered consistently through the quarter, although Red Lake production was interrupted in February as a result of a blocked pace line. I’m happy to update that the line is back to full operation with Red Lake returning to planned production rates through the month of March. Looking ahead, we’re set up to finish the year well and are on track for group guidance. Mt Rawdon is expected to continue to generate material cash flow during its final quarters of operation through processing the stockpiles. Ernest Henry is on track to finalize the ventilation upgrade, which will allow more productive operations in the June quarter. And at Mungari, the commissioning of the new 4.2 mill is well underway. Of note, at Cowal, the major mill refurbishment is on track for operation and due to come up in mid-April. During the mill refurbishment, we also carried out works to increase the capacity of the elution circuit. In order to complete this upgrade, we drew down on our working gold stocks, which over the course of the first part of the June quarter will be replenished. I’ll now hand over to Nancy to talk through some of the exciting projects we’ve got underway.
Nancy Guay: Thank you very much, Matt. I’m going to start with a personal note before going with the 35. That we will discuss the project. Being part of the Evolution team for over a year has been a privilege. I’m excited about the strength of our portfolio, and more importantly, the significant value we’re positioned to create in the years ahead. What inspires me most, however, is the opportunity to work alongside such a strong, engaged and passionate team. With over 30 years of experience in the mining industry, I spent the past 2 decades at Agnico Eagle as a Vice President, Technical Services, Innovation and Optimization. This marks my second professional journey in Australia, having previously worked as a consultant for [indiscernible]. Over the next 3 slides, I will provide an overview of our project portfolio, focusing on the strategic intent behind the Cowal Open Pit Continuation project, which I will name OPC and the long-term potential of the Cowal underground. We manage a robust and well-aligned suite of projects designed to deliver sustainable value for Evolution. Each asset has been strategically positioned to enhance our portfolio, and we remain focused and disciplined, timely and capital-efficient [indiscernible]. Several key projects have been prioritized, and we are pleased to report strong momentum across the portfolio. A standout example is the Mungari expansion project where timing aligned well with favorable market condition and was further strengthened by exceptional collaboration between Evolution and our contracting partners. The project was delivered 9 months ahead of schedule and 9% under budget with a total capital of $220 million. Commissioning is progressing well and remains firmly on track. The long-term future of Cowal is strongly underpinned by the development of its underground potential, which I will cover more in detail in the final slide. We continue to make solid progress on development activity while enhancing our geological understanding of this high-quality ore body. Production remains on track, and we are progressing towards achieving 2.4 million tonne per annum throughput by 2026. At Northparkes, the E48 project is advancing as planned. We are now integrating the outcome of a recent study with our life-of-mine plan to confirm the optimal production profile and development schedule. The next 6 to 9 months will be an active and pivotal period across the portfolio. Key milestones include the completion of the commissioning at Mungari, continue the advancement at Northparkes, including the trade-off study for E22, block caving versus a sublevel block caving, the finalization of the feasibility study for the Ernest Henry extension at depth and the Bert deposit. And as outlined on the following slides, the commencement of the Cowal Open Pit Continuation project. The OPC project greatly enhanced the Cowal life of mine and support the Evolution long-term production profile. As outlined on Slide 9, the OPC project is fully execution-ready. In July, the project will begin constructing a lake protection bund, a vital infrastructure that will enable the safe development of 3 new open pit. This includes the E42 extension with E46 GR scheduled to enter in production in [indiscernible]. E41 is planned to come online as the third producing pit in 2030. The key value drivers of that project is the extension of mine open pit by over 10 years, an additional 2 million ounces for the overall production profile. The development of critical infrastructure to enable future underground expansion and the sustainability benefits to the in-pit tailings storage at E46 and GR. This project is a cornerstone in Evolution strategy, delivering scale, longevity and future optionality at one of our key assets. As mentioned earlier, Cowal’s long-term future [Audio Gap] The OPC project is key to delivering production and critical infrastructure that will support future underground expansion. As shown on Slide 10, the deposits remain open at depth, and we continue to deliver constant low-cost resource replacement averaging just $20 -- $23 per ounce. This reflects the organic quality and our disciplined approach to exploration and development. Recent underground development has enhanced our geological understanding and confirmed the system broader potential. Combined with Cowal position in a Tier 1 jurisdiction, and Evolution from an operational capability, this reinforced the strategic value of this asset within our portfolio. The Cowal underground continued to unlock material upside, strengthening our production base and delivering long-term share. I’m now handing over to Lawrie for the conclusion.
Lawrie Conway: Thank you, Nancy. Summary as outlined on Slide 11. We are set for a strong finish in the last quarter. We’ve positioned ourselves well through the hard work over the first 3 quarters and are on track to deliver to our guidance. It will see us deliver a material increase in cash generation in the June quarter, and we are on track to $2.3 billion of operating cash flow this year. This compares favorably to what we planned when we issued guidance in August with around $500 million more cash flow. We’re progressing our organic growth projects to generate high returns. The delivery of the Mungari project ahead of schedule and under original budget, the compelling economics at Cowal and the unique approach we have taken at Mt Rawdon are perfect examples of how we are driving value from the portfolio. We maintain our discipline on capital allocation. The only changes we’ve made to capital guidance have been due to the early completion at Mungari and at Cowal with the approval of the compelling investment and opportune acquisition of a fleet. We continue to time our major projects appropriately. The cash flow being generated is definitely flowing through to the bank so that benefits of these high metal prices are realized by our shareholders through higher returns. With that, Ashley, please open the line for questions.
Operator: [Operator Instructions] Your first question comes from Kate McCutcheon with Citi.
Kate McCutcheon: Congrats on the record cash flow. Just on the timing of projects, the CapEx profile of $750 million to $950 million over the next 5 years that you presented, that’s an average. So can you just give some color on what that profile looks like, what are the high years and what are the low years? And what are the key uncertainties, if any, around timing of some of the projects?
Lawrie Conway: Yes, Kate, thanks. Look, if I look at the portfolio, the timing is going to be project dependent. And as we finish the plans for FY ‘26 in the next couple of months when we give the guidance, we’ll be able to more clearly outline it. But if you look at Cowal, for example, because we’re opening up pits and moving the bund wall, the CapEx in the first couple of years will be higher, and then it tails off over the remaining years 3 to 7. So we’re just working through what that’s going to be like. Similarly, when you look at the fleet that we’ve purchased now, we get to a peak requirement of probably about another 7 to 8 trucks. So if Matt and the team can identify suitable secondhand trucks that are a lot lower cost than the new ones, we may bring those forward. When we look at the other assets, they’re all pretty well in line over the next couple of years among Ernest Henry builds up in sort of year 3 to 5. But as I said, when we get to our guidance, that’s when we’ll be able to outline it. But that $750 million to $950 million average over the next 5 years. So if you were to take 5 years at those rates, that’s what you should be planning on.
Kate McCutcheon: Okay. That’s helpful, Lawrie. And then two questions in one, the CFO update. What is the latest there? And then you’re getting close to the 15% gearing target. Will you look to retire the rest of the term loans? Or I guess what is the plan after that with the balance sheet?
Lawrie Conway: Yes. So in terms of the CFO status, we’re well advanced on that and wouldn’t expect it to be too long before we announce a replacement there. And in terms of the gearing, yes, we – our first hurdle was to get below 20%. We’ve now got to that. Therefore, we’ve accelerated repayments on the term loans, whereby we don’t have to pay anything more this financial year. We will make some payments in the June quarter. And then when we get to June, we’ll look at how much further we accelerate that. But I think it’s fair to say that by the time we get to 15%, we would have been reducing the gross debt at a faster rate than just the net debt. So we’ll be able to update that in June.
Operator: Your next question comes from Daniel Morgan with Barrenjoey.
Daniel Morgan: First question, probably a pretty straightforward one. The Cowal mill overhaul is due to be finished about now. Can I just check the status of that? And is it finished, almost finished?
Lawrie Conway: Thanks, Dan. It’s what I would say is imminent. It is due to come back online this week and tracking to that plan.
Daniel Morgan: I know it’s very early, but turning to the Mungari mill. Could you expand at all on how commissioning is going? I know it’s only been, what, second week?
Lawrie Conway: Yes. So I can hand that to Matt, but it’s -- quite simply, it’s going well. It’s going to plan. Scott Barber, the GM was very happy to send me a screen shot of the remittance having produced the first gold bar out of it and selling it at $5,150. So he’s very happy with it. Matt, anything to add on the commissioning?
Matt O’Neill: No, I think you’ve covered that. It’s going to plan. There’s the normal commissioning issues that the team are working through, but there’s nothing that’s come up material that I think is going to cause us a problem. So no, it’s going pretty well.
Daniel Morgan: And if everything continues to plan, when would the mill be operating at full throughput and expected recoveries?
Lawrie Conway: So the commissioning and commercial production is sort of what the hurdles are. We need to go about 3 months at a 70% rate. So that’s sort of around $3 million tonne per annum rate, and recoveries being within a few percent of plan. I can answer on Matt’s behalf by saying that we’d expect that to be in place by the end of June as we put in the release, but...
Matt O’Neill: Yes. No, that’s about right. That’s our target.
Daniel Morgan: Okay. And just last question, maybe a chance for Jake on his favorite topic of the Pumped Hydro. Mt Rawdon had, I believe this is accurate, $47 million of rehab liabilities at the end of FY ‘24. How does the Pumped Hydro project change this, if any?
Jake Klein: Thanks, Dan, and great question. I think we outlined in our release where we put the key commercial terms that once FID has reached, the $90 million payment to Evolution, which is 100% held by Evolution in addition to some – to the $100 million payment on FID that is shared between ourselves and ICA, but $90 million, which will contribute to that $47 million liability.
Operator: Your next question comes from Rahul Anand with Morgan Stanley.
Rahul Anand: Two questions from me. Perhaps the first one on the all-in sustaining cost performance. Just wanted to touch a bit upon that. Obviously, year-to-date, you’re tracking to the top end of the guidance or maybe even slightly above. And if I look at this quarter specifically, gold sales were circa 8% higher than consensus, silver was 14% higher on sales. Copper production was also a bit higher than consensus. And if I look at the copper pricing for the period, nearly AUD 15,000 a tonne versus your guided copper at AUD 13,750 per tonne. Yet the all-in sustaining cost performance was AUD 1,680 a tonne, which is above guidance still. Admittedly, Mt Rawdon was part of that but still top end to slightly above. Is it fair to say that the underlying cost base is now running sustainably higher as we look into next year? How are you thinking about the last quarter as well? So that’s the first question. I’ll come back with the second.
Lawrie Conway: Thanks, Rahul. Look, I think there’s a few questions within the one question that we need to go through. I think on copper, the first thing is that year-to-date, we are almost in line with the price that we have in our guidance. So yes, this quarter was higher, but year-to-date, we’re sort of almost bang on line with what we had guided at. If you then look at the gold price, we’ve achieved $4,500 against $3,300. So royalties are higher. But as I always say, we’ll take the 95% extra in the revenue line if we take extra in the cost. So that is having an impact probably in the order of $50 to $60 an ounce that is in there against our guidance. Then if we look at March quarter, you’ve got to take into consideration that Cowal, largest producer and lowest cost, has the shutdown. So half of those maintenance costs will hit this quarter with lower production. Next quarter, you’ll get better production, and you still will have some of those shutdown costs. But over those shutdown costs then spread over the full year, you get a lower all-in sustaining cost by the time we get to the full year cost number. Then when you look at -- you’re going into sales consensus versus -- I’m more worried about what our plan is. We sold a bit more in March because of when December quarter end was that weren’t able to sell, so we then sold that in the March quarter. March quarter end was a week day. We’re also able to do sales at the end. So therefore, sales were higher. But if you then go and look at Red Lake, Red Lake sales were 3% -- 10% lower, and that is due to a buildup of concentrate stocks till we get the salable quality that will sell into June. So the higher production at Red Lake and the sales of that concentrate will see their all-in sustaining costs go down. So to answer the last part of your question, are we seeing a shift in the overall cost base? No. We’re seeing that pretty well in line. The only thing I would say that I hadn’t touched on was at Mungari, we did sell some very low-grade stockpile material through toll treating that would be higher than the average cost, but that material now that the plant is being commissioned early, would not have got processed until the back end of the mine life. So we took the opportunity to get that toll treated. Has increased the AISC a bit, but that, from our perspective, isn’t material given that we’re getting the revenue right now. No change to the guidance.
Rahul Anand: Got it. Got it. Look, that’s very detailed, and I guess we’ll have to make up our own minds on next year, et cetera, but it seems like you’re well placed for the last quarter. And then I guess the second question is...
Lawrie Conway: I will make a comment on that. It is good that, we get to the end of the March quarter and everyone just moves on to next year. Unfortunately, for Matt, I can’t let him do that. He’s got a quarter to do. But if you do look at our cost base, 50% of our costs are labor. And what we would see is that we would expect a lower rate of increase than last year, given where inflation is at, but you should expect that on 50% of our cost base, you’re going to see somewhere around 3% to 4% increase in our labor costs. So half of that. The other costs are pretty well holding in line and then depending on what price assumption you use for gold price next year, which makes up about 5% to 6% of our cost base. If you’re holding it at $5,000 an ounce, and we’re averaging $4,500 this year, therefore, you’re going to have a higher royalty cost next year. But they are the big drivers that you would see in terms of our costs for next year versus this year.
Rahul Anand: No, that’s brilliant. That’s very clear and detailed. Look, the second one that I was going to get on to was just the Red Lake grade variability that we’ve had from the mine. Obviously, you’re doing a bit of work in there. But, I guess, what I wanted to understand was the works that you’re carrying out at the moment, does that kind of leave you in a better, more predictable grade profile into perhaps next year? Or do we continue to expect this grade variability continue for the asset?
Matt O’Neill: It’s Matt here. I’ll answer that one. In terms of the grade variability for the quarter, that was driven by past conversation and essentially us mining in different places to where planned because of it. And so that’s the key driver there. Yes, you should expect and we do expect more predictability out of the grade going forward. And there’s 2 aspects to that. One is everything working as per plan and the pace and things turning over. But also the drilling and understanding exactly where we are and getting further in front of ourselves. So those are the 2 drivers. That’s exactly where we’re headed.
Operator: Your next question comes from Andrew Bowler with Macquarie.
Andrew Bowler: Just sticking on Red Lake, I guess, a question for Matt. Just wondering if there’s any incremental costs associated with the trade that’s happening between the U.S. and Canada at the moment. How much of your consumables come from south of the border and also plant and equipment, obviously, which could feed into the CapEx line there at Red Lake.
Matt O’Neill: Yes. Andrew, that’s probably -- as good a question as any. I mean, in terms of what it’s going to be, we’re not certain, and I don’t think we’re alone in that. So we are expecting it to have some impact and the team are working through that primarily around budgets for next year in terms of the conversations. We’ve got some reasonable stock levels for our key consumables in bits and pieces on site. But the honest answer is we’re not certain, and we’ll wait and see over the next quarter. But I’d like to say not much, but we’ll see. I know that’s not the answer you’re after, but I really don’t know the answer.
Lawrie Conway: Yes. Just to add to that, Andrew, would be that the operating costs, the spend about CAD 260 million to CAD 20 million a year, a large portion of that is labor. And then you’ve got power and the like that are in domestic. We’ve done a first pass analysis where at the moment -- where the tariff rates are sort of being indicated for Canada. We don’t see it as material and significant. Probably a rough estimate would be around 5%. But that’s at the top end, depending on where it escalates. And then in terms of capital, at Red Lake, we’re not buying a lot of mobile equipment and infrastructure. It’s a lot of civils and works around -- the biggest piece of work is going to be in the tailings, which will be in country. We will continue to monitor the tariffs like everyone else is enjoying the daily updates.
Andrew Bowler: That’s obviously if Canada doesn’t become Eastern Alaska. In terms of operational stuff, maybe another one for Matt. Just reading the quarterly talking about a lift in recovery in the June quarter at Ernest Henry via flash float circuit coming online. Just wondering if you could quantify that lift in recovery for us. And also, it sounds like it’s a new bit of equipment, those recoveries will continue?
Lawrie Conway: Yes. So in terms of it’s come online and running and going quite well, there’ll be 2 aspects to the recovery. One will be, we’ll see a slight increase in our grade based on the ventilation circuit coming online, but we’ll also see a bump around the additional plant. And so what we’re targeting is around 1% in terms of where that comes from. Those are the 2 key areas we’re pulling it from. So that’s what we’re looking for. If we can get a little more, we will and the team are working quite well on it, but that’s what we’re chasing.
Operator: The next question comes from David Radclyffe with Global Mining Research.
David Radclyffe: So just a question back on Cowal for me. So on the stage I cutback, just looking really to some more details. So maybe could you give us an idea of when you expect the first year of ore from the cutback to start that base case 4.5-year payback or better at spot. Maybe sort of an idea on what the key stripping years are and what the material movement tops out at? And sort of going in hand with that, what are the key years where you’ll be drawing on low-grade stocks supplemented or received from the underground?
Lawrie Conway: Thanks, Dave, few parts of that to unpick. I’m looking at Matt and Nancy and neither of them are looking at me, getting ready to go. But I think if we look at it as Nancy outlined, the sequencing of the pit roles that we start, the cutback in Stage I at the end of this calendar year and then there’s a few years before we get into the ore while at the same time, we’re opening up E46 as the next pit, then we’re going to Galway Regal. So if you sort of look at them, the overall sort of strip ratios range, E42 is about 3, E46 is 4. And then the lowest of them all is down at E41 at about 2. So that sort of gives an indication. Rocky can update you on sort of tonnages and where they all fit. But that’s where they sequence. To answer the question on the stockpiles, it means that by sort of last quarter of this calendar year, so second quarter of FY ‘26, we start using stockpiles, that will run through basically over the next 3 to 4 years, but decrease each year with the biggest being basically just over half a year of using stockpiles and you’ve got 2.4 million tonnes coming from the underground. So that’s sort of the way it goes. Matt?
Matt O’Neill: No, you’ve covered off the profile. Yes, we start in Stage I pretty much off the bat and then move through, but stockpiles do part of what we’re going to be processing over the period, and our intent is to try and displace that with the underground with -- as Glen and Nancy find more that we can go and take from there.
Lawrie Conway: And just to probably help a little bit given that I know you get a little bit more detail there. You’re probably getting 120,000 ounces next year out of stockpiles and then you come down from that to 100,000 for a few years and then it drops away in year 4, 5.
Operator: The next question comes from Meredith Schwarz with Bank of America.
Meredith Schwarz: Just a follow-on from David’s question at Cowal. So with the potential from the underground growing, when do you expect to get an updated resource on that new area? I assume it’s not going to come in the next resource statement. And then looking at stat mineralization growth and that the potential for ounces grows, that -- can you talk through how you’re looking -- that will obviously displace some of that open pit ore that’s going to come through from the OPC. Do you have a bit of an idea of how the E41, the E46 and all of that will then come through on the back of that underground?
Lawrie Conway: Yes, I’m going to hand that one over to Glen.
Glen Masterman: Thanks, Lawrie. Meredith, I’ve been waiting for a question like this all morning. So thank you for asking. Look, I think in terms of sort of going back to the beginning, by way of a resource update. Look, we are coming out with our annual MR but the drilling we’ve been doing, particularly in the underground extension and if I take you back to Slide 10 and this morning’s pack, just to sort of guide you around where we are doing our work. There is a -- on the slide there at E42, there is a shape there, which is indicating we are currently drilling. Now that’s a target that sits between the E42 open pit and the existing underground. And we’ve only got a handful of holes into it at the moment, but we -- what we’ve repicked up is a repeat of the architecture that controls the underground in a new location, which has opened up a brand-new search space. So that’s the piece that we’re really excited about because each hole we’ve got in there has hit where we expected to get grade, so over some pretty decent intervals. Now we’ve only really got a half dozen holes in there. So a long way short of doing a resource update. So that’s going to develop as we continue to drill. But we have lots of strike lengths to play with. And I think that’s the really exciting piece because it gives us some scale, whereby if we do succeed in growing a resource there, it does represent a potential new mining front where we are able to increase production incrementally if it all comes together. And the goal there would be to certainly displace some of the low-grade stockpile that is currently in the life-of-mine plan, pushing that out further into the future and expanding our underground production at much higher grade, and that’s how we feel we’ll get the production growth as we go forward.
Meredith Schwarz: Yes, perfect. And then I suppose, keeping on that exploration front, would you say across the portfolio that you see the greatest potential at Cowal for further upside -- exploration upside? Or is it sort of level pegging with Mungari and Ernest Henry? Are you the most excited about Cowal? Is that kind of how you’re looking at it from an exploration perspective?
Glen Masterman: Again, a good question. I’m excited about all of it. Look, I think with Cowal, we -- what we have, and Lawrie and Nancy mentioned it earlier, is we have a world-class mineral system here at a fantastic geologic address. We -- in the slide, we’re showing a total endowment to date, just over 13 million ounces. Given it’s a world-class system, I still think we’ve got a multimillion ounce potential to unlock here at Cowal. So that’s the exciting piece. But if I look across the portfolio, what we are blessed with is a full range of options in terms of growth levers that we can pull. We have terrific targets still that remain to be tested not necessarily associated with the extension of the underground. So we have targets there that we’re looking to be drilling in FY ‘26. At Mungari, I’m really excited about some of the results that are coming out of the Genesis and Solana underground areas. And again, it’s a similar approach to Cowal, where we’re looking to expand the underground resources, convert them to reserves. That’s our higher grade. And if we can continue not just at current production levels from the underground, but if there’s incremental growth there at higher grades, that’s obviously a key driver for the value of Mungari, and that’s also going to be a big focus for us in FY ‘26. And then lastly, at Northparkes, I think we’ve got the opportunity that we’ve talked about, particularly around identifying new open pit mining areas that we can -- they either represent or give us flexibility in our life-of-mine plan if we can continue to do that. We’ve recently recommenced drilling at major time after changing out the drilling contractor and we’re back there drilling to grow that resource or certainly declare a maiden resource there and continue to study it. So I think that’s the #1 target for a new open pit at Northparkes, and we feel we’ve got a lot of runway to be identifying more of those.
Meredith Schwarz: Great. If I could just sneak one more in speaking on Northparkes, with Major Tom and E51, what do you think the earliest could be to bring those into the mine plan? Because obviously, the open pits have finished up there. Now you’ve got the open pit material, which will be processed over the next 12 months. Just sort of looking at then how you bring those next open pit sources into the mine plan to supplement the underground feed. Because I assume E48 sublevel cave that’s due to start production FY ‘27, ‘28, is that correct?
Lawrie Conway: No. So E48, we’re in developing now. We would expect that ramps up through ‘26. So Glen can touch on where we’re at with those 2 deposits. But essentially, as we go forward between the existing underground in E26, then the E48 supplemented with the stockpiles is what will keep the plant full, giving us time around Major Tom, E51.
Glen Masterman: Yes. Thanks, Lawrie. I think the – we’re still at pre-resource stage at Major Tom and E51, Meredith. So what we need to do is complete the current phases of drilling that we’re working on. We’ll model those. And the idea is to see that we can actually optimize some open pits on both of these targets, and that’s then going to drive sort of what we need to do in the study. So I would say sort of you’re looking at really a 3-year plan here in terms of what we can do by bringing on some new open pits in that mining sequence.
Operator: Your next question comes from Al Harvey with JPMorgan.
Al Harvey: Just on Cowal OPC. I recall at one of the site visits out there at Cowal. There are a few pathways to develop the lake protection bund. I suppose, in the context of Lake Cowal having a bit of water in it and what it would mean for a wet versus dry build. So just wanted to get a sense of the current thinking, how you’re thinking about planning the bund now? And if there’s any risk of planning around sequencing if there’s heavy rainfalls over the build time frame.
Nancy Guay: Thank you, I will answer that question. So right now, all of our planning is done to do the construction. But we have 2 steps of construction for the North site the South. The North site is planned to be done in the wet area, so on the wet lake. So -- and we have good codes from contractor. We have people experience. We review [indiscernible] quite comfortable. We have some, I should say, risk mitigation or plan mitigation which are included in our schedule and our project time line. And the South, this should be done on a dry time. It should be dry at that time when we’re going to go into...
Al Harvey: And maybe then to Jake on Mt Rawdon Pumped Hydro, just wanted to get a sense what the additional ounces in the pit could be from those lower pit wall angles and how and when they come into production. I suppose I assume it would come after CleanCo exercise that call option on FID, if it goes ahead.
Jake Klein: Thanks, Al. I think there’s strong competition between Glen and I who want more questions this morning. So I appreciate the question. Look, I think it’s early days. The reality is you may recall that there was originally a Stage 5 cutback for Mt. Rawdon’s open pits contemplated by us, and we didn’t proceed with it. So it’s not because the mineralization stops. It was really the cost of – there is definitely gold at the bottom of the pit, but it’s really going to be determined by the shape of the low reservoir. At the moment, the wall angles in a mine are obviously, and Mt Rawdon is a clastic example, are designed to almost fail on the last day of mining as where a lower reservoir really needs to be a lot flatter wall angles to be over the last 100 years. So there is contemplated to be quite a large earth movement and cut back to shape it, but it is predicated on FID being achieved, the project proceeding and then it will be extracted post construction of that or during construction of that low reservoir because essentially, we have the option of tagging trucks coming out of the pits during the cutback to go to an ore stockpile or being [indiscernible] stockpile.
Operator: Your next question comes from David Coates with Bell Potter Securities.
David Coates: Most of might have been covered off. I’ll just touch on the rest of FY -- production for the rest of this financial year. We’ve had a production a little bit lower this quarter with shutdowns, but -- and you’re clearly on track for guidance. But you’re expecting a little bit of a lift with Cowal. It sounds like it’s just about -- the shutdown is just about done. So should we expect a little bit of lift in tractor for the final quarter?
Lawrie Conway: Yes, you’ll see a little bit. As Matt did indicate, we had to draw the circuit down to allow for the elution circuit upgrade to be done during the shut period. That means that we’ll build those stocks up during the June quarter, as Matt said. So we wouldn’t say you get -- we’re basically 15 days out in the March quarter, 15 days out in the April quarter thereabouts, in terms of that major shut in the elution circuit. So you’ve got about the same number of operating days, and you’ve got that circuit buildup. So you will see higher grades coming through from the open pit which we’re building up through the March quarter, but we don’t expect it to be materially higher. If you look at it from a group perspective, Matt said, Red Lake, you get that higher production, you’ll get less production at Mt Rawdon as we’re going through those stockpiles. You’ll see pretty consistent at Northparkes, Ernest Henry. And at Mungari, we’re going through that commissioning. Yes, we get the higher tonnage, but we’re processing very low-grade stock through the commissioning period. We’re tracking 1% above midpoint of guidance as at the 3-quarter mark, that’s a good indication of where we’re going by the full year.
David Coates: Excellent. That’s really great. And my second question is, and again, this has sort of been touched on, but I was asking if you might want to add a little bit extra, but use of cash. You sent a pretty clear signal with the interim dividend. You’ve accelerated the debt repayments. Can you just maybe give us a bit of, I guess, how strategically, you’re thinking about using cash and how those 2 options sort of fit into that?
Lawrie Conway: Yes, Dave. So our dividend policy when we did the interim dividend hasn’t changed. We assess that each 6 months. So 50% of group cash flow is what we target to pay out. Therefore, as we see the June quarter higher cash flows, therefore, that leads to higher dividends. The fact we’ve got $660 million in the bank and have paid the dividend in April. Therefore, that’s why we’ve started to accelerate the term loans, the higher cost debt. So we’ll continue to pay those down while at the same time, maintaining flexibility on the balance sheet by sustaining a good cash level. I think then if you flow it through to our capital investment, where Kate mentioned that $750 million, $950 million, that’s sort of what we invest average over the next 5 years. There’ll be years above it, years below it based on where the projects are at. They’re multiyear projects. But that discipline of when we invest in those projects when we need it, not just because we’ve got the cash. And I think you might have gleaned from Glen’s conversation, he’s putting his hand out for a bit more exploration money based on the drilling successes that we’re having. So that’s sort of where we look at it from a capital allocation.
Operator: Your next question comes from Hugo Nicolaci with Goldman Sachs.
Hugo Nicolaci: Congrats on the Pumped Hydro progress as well. First one for me, just observationally, looking at that project summary table, which helpful inclusion in the report last couple of quarters. Just looks like the Ernest Henry mine extension study is now this quarter, having been June last quarter? Just any sort of comments there around timing or what’s led to that quarter slippage?
Lawrie Conway: Yes. Look, just shortly on that, Hugo, is that as the teams getting towards the end of the feasibility study phase and seeing the drill results that we’ve had through the course of the study and making sure in terms of the optimal way to go below the 1,200, we felt it was opportune to give them time to finish all of that assessment. Therefore, we’re rolling that into the June quarter.
Hugo Nicolaci: Yes. That makes sense. And then just second one, I guess, looking a bit longer term, I appreciate you got a number of projects in front of you already and maybe with gold pricing where it is, there’s maybe a bit more upside to drilling and study timing and the like. But I guess if I look at your overall asset life on the current resource base, you’ve probably still got one of the longer resource lives both locally and globally versus some of your peers. How do you strategically think about what the right mix of asset life is and where the constraints might be relative to your current mine rates?
Lawrie Conway: Yes, really a good question, Hugo. I mean I think when we look at it, we’ve got latent capacity in the plants at Ernest Henry and Northparkes. They’re high-returning assets. That’s the first area that we will look at. We’ve obviously now upgraded Mungari, and the focus there will be how do we put more volume through from the underground. Similarly at Cowal, as Nancy mentioned, the potential of the underground and the role it plays, it’s 30% of the feed. So the more we can get through the underground through that plant is where we get that potential. And then I think the other one is just when you look at the resource base, Northparkes has the largest. So therefore, is there opportunities for basically looking at expanding the processing rates without actually reducing the mine life materially. So they are the ways that we look at across the portfolio.
Operator: Your next question comes from Matthew Frydman with MST Financial.
Matthew Frydman: And Lawrie, you’ve kind of already partly addressed my question in your responses to some of the prior questions, but maybe kind of synthesizing it all together. You’ve got the MROR update in the middle of the year. You’ve got a number of material studies as you’ve just been talking about, particularly at Ernest Henry and at Northparkes and obviously, some ongoing exploration activities as Glen has already talked about this morning. Overlaid on top of all of that is obviously the gold price environment and the cash generation and the strengthening balance sheet. So potentially a lot of optionality there in terms of the timing and the payback on spending incremental growth capital and executing on some of those projects. So I guess the question is, how are you thinking about integrating the outcomes of all of those various studies into an overall multiyear kind of outlook for the business? Should we be expecting an update on that at some point in FY ‘26? And really, is there anything else apart from those ongoing studies that you’ve outlined that you’d want to be capturing in that sort of outlook before presenting something to the market?
Lawrie Conway: Yes, Matt, look, thanks for pulling all of that together. I mean, basically, that’s the dilemma we’re rolling through is we’re doing our business plans and budgets is where do these all aggregate up to. But I think the good thing is that when we look at it, at a portfolio level, there is no urgency for us to accelerate projects merely because of where the metal price is and the cash position is because from an operational standpoint, they actually sequence very well. Mungari, that investment is now done. It converts back to a major cash generator as we move into the Cowal OPC that can fund that and still generate cash for the group. We then look at going below the 1,200 at Ernest Henry over the next few years and where that plays out in terms of how we mine that and what it does below the 775 in the longer term. Northparkes, as I just mentioned, how do we unlock the capacity we’ve got there and then go beyond. But with E48, E26 running and there were E22 fits in, that’s over the next few years that rolls through after those other projects and Cowal is back into ore. So when you look at all of those over the next 5 years, they do sequence quite well without creating operational risk and where the balance sheet is, we, therefore, can afford those projects. That $750 million to $950 million average over the next 5 years still stands as valid. As I said, there’ll be years where we’re above it. There will be years where we’re below it. But as long as those multiyear projects are delivering to plan, we’re very happy with where we’re going with the cash and the balance sheet.
Matthew Frydman: Yes. So should we be expecting any kind of specific timing for an updated multiyear outlook? Or just happy to let the kind of results of the ongoing studies as they release sort of speak for themselves in terms of how they integrate with the portfolio?
Lawrie Conway: I think as we go over the next 6 to 9 months, as those studies finish and formulate what they mean to the portfolio. As we update on those, we always overlay it with what does it mean for a group. So I don’t think you’re going to see a specific here’s everything in a 1 update. You’re going to see them as studies or projects advance. We show what is the benefit of those projects and what does it mean to the portfolio. And Cowal today is a classic example. The economics are really compelling. It’s the right time it can fund it. It still delivers cash. But from a portfolio perspective, Mungari is now moving to a major cash contributor. So the capital we’ve been investing in the last few years at Mungari is being replaced by Cowal.
Operator: There are no further questions at this time. I’ll now hand back to Mr. Conway for closing remarks.
Lawrie Conway: Thank you, Ashley, and thank you, everyone, for joining us today. It was really pleasing to have another successful quarter delivering to guidance and seeing that cash flow through to the bank account, which is helping us from a balance sheet perspective and allowing us to increase returns to shareholders but also on the project side, the successful completion at Mungari, the approvals at Cowal and the progress at Mt Rawdon says that from a company perspective, we’re in good shape to finish the quarter, and we look forward to updating you in the coming months on each of these projects. Thank you.
Operator: That does conclude our conference for today. Thank you for participating. You may now disconnect.